Operator: Good morning. I would now like to turn the meeting over to Mr. Jamie Porter, Chief Financial Officer. Please go ahead.
Jamie Porter: Thank you, operator. And thanks to everyone for attending Alamos’ fourth quarter 2017 conference call. In addition to myself we have on the line today, John McCluskey, President and Chief Executive Officer and Peter MacPhail, Vice President and Chief Operating Officer. To address any questions with respect to our reserve and resource update we also have on line today Aoife McGrath, our Vice President of Exploration and Chris Bostwick, our Vice President of Technical Services. I would like to remind everyone that our presentation will be followed by a Q&A session. On this call, we will be making forward-looking statements. Please refer to the disclaimer on forward-looking statements in our news release and MD&A, as well as the risk factors set out in our Annual Information Forms. All forward-looking statements on this call are qualified by these cautionary statements. There can be no assurance that our forward-looking statements, even though considered reasonable by management based on information on hand, will prove to be accurate. Future results and events could differ materially. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Vice President of Technical Services and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call today are in United States dollars, unless otherwise noted. Now, John will provide you with an overview.
John McCluskey: Thank you, Jamie and good morning everyone. We closed 2017 on a strong note achieving record quarterly production of 120,300 ounces, record annual production of over 429,000 ounces and a significant reduction in cost. This translated into our best financial performance in years. We also greatly improved our outlook over the past years with various strategic initiatives, including the acquisition of the gold mine, the elimination of debt and the advancement of our growth projects. Operationally, we met or exceeded production guidance at all of our mines in 2017. We also met cost guidance with an 8% reduction in all in sustaining costs to $933 per ounce. This drove record mine site free cash flow to $78 million for the full year, up nearly 120% in 2015. This included a record $34 million from Young-Davidson, which had a breakout year achieving several new milestones. We expect the strong operational performance to continue into 2018 with the addition of our Island Gold. We are expecting gold production to increase further 16% to a new record. We expect production for 2018 to fall between 418,000 ounces and 520,000 ounces. Island Gold has solidified our operating base giving us a third core producing mine that will anchor this company well into the future. We expect to produce at least 500,000 ounces per year in 2019 and 2020 from our existing operating mines with significant cost improvement expected to drive improving margins and cash flow. We had a good year on the development front, highlighted by the construction of La Yaqui Phase 1, which came in ahead of schedule and on budget. We started development activities at Kirazlı and the completion of three positive feasibility studies. These studies outline more than 400,000 ounces of defined annual production potential and highlight the type of high return internal growth opportunities we posses. Kirazlı is the highest return project in the pipeline. We expect to ramp up the full scale construction in spring, following receipt of GSM permit. Kirazlı is expected to produce more than 100,000 ounces a year in its first full year production, bringing companywide production to over 600,000 ounces, while further lowering our cost profile. We had another solid year with [global] reserve increasing by 2 million ounces, driven by the addition of Island Gold and increases at Lynn Lake and La Yaqui Grande. Over the past two years, we’ve added four million ounces of reserves, which now approach 10 million ounces. This gives Alamos high quality, long life reserves, located on the best jurisdictions in the world. In particular, the reserve growth at Island Gold continues to demonstrate potential and quality of the deposit. Island Gold’s reserves grew another 18% from the end of 2016 while grade increase of further 11% to over 10 grams per ton. Since 2014, reserves have increased by nearly 400% with grades increasing 60%. We see more growth potential in the years to come. With a stable base of three high quality operating mines, improving margins, appealing growth and a solid debt free balance sheet, Alamos has never been better positioned to deliver sustainable shareholders value over the long-term. I will now turn the call over to our CFO, Jamie Porter, to comment on our fourth quarter 2017 financial performance. Jamie?
Jamie Porter: Thank you, John. As John mentioned, our financial results continue to improve every quarter. We took a number of important steps in 2017 that helps us to achieve this result. Retiring the high yield notes and eliminating $24 million in annual interest cost, has dramatically improved our earnings. Higher production in Gold sales has improved margins resulting from the Richmont acquisition are expected to drive continued growth in both earnings and cash flow. Our financial results for the fourth quarter include about five weeks of results from Island Gold given we closed the acquisition in late November. In the fourth quarter, we sold approximately 127,000 ounces of gold in an average realized price of $1,275 per ounce for record quarterly revenues of $162 million. Annual revenue reached a record $543 million. Our margins continued to improve with total cash costs of $753 per ounce and all-in-sustaining costs of $902 per ounce in the fourth quarter, both down more than 10% a year ago. All of our operations were again free cash flow positive in the fourth quarter, generating $37 million mine site free cash flow. For the full year, we generated a record $78 million mine site free cash flow, more than doubling $35 million in 2016. Young Davidson was a big driver of this growth, the operation continuing to establish new records. We reported a loss of $4.7 million in the fourth quarter or $0.01per share. Our earnings were impacted by a number of one-time items, both of which related to the Richmond acquisition. These adjustments included $5.1 million of transaction cost related to the acquisition, a fair value accounting adjustment at Island Gold of $4.1 million and unrealized foreign exchange losses of $5.1 million. These adjustments total $14.3 million and impacted earnings by $0.04 per share. Note that amortization per ounce has increased with the acquisition of Richmond and the Island Gold mine. Amortization per ounce for the fourth quarter of 2017 was $324 an ounce, an increase from the full year amount of $292. On a go forward basis, amortization is expected to approximate $350 per ounce. Operating cash flow before changes in non-cash working capital was $52.7 million or $0.16 per share in fourth quarter, and $183.3 million or $0.60 per share for the full year. We’ve demonstrated strong earnings and cash flow growth over the past two years, both on an aggregate and per share basis. Capital spending totaled $39 million in the fourth quarter and $163 million for the full year with capital spending at each of our operating mines in line with guidance. Capital spending in our operating mines in 2018 is expected to be in a similar range of $146 million to $165 million. Spending at our development projects, including capitalized exploration, is expected to total $146 million in 2018. This concludes $100 million for the construction of the Kirazlı project of which 80% is contingent upon the receipt of the GSM permit. Our corporate G&A expense remains among the lowest in our peer group with $4.6 million occurred in the fourth quarter and $15.5 million for the year, down from 2016 levels and ahead of guidance. We remain debt free and that’s one of the strongest balance sheets in the industry. At the end of 2017, we had $237 million of cash and equity securities, up from $168 million at the end of September. With our undrawn revolver we have more than $637 million in available liquidity, and combined with growing cash flow from our operations, we are in excellent shape to fund our strong pipeline of growth projects internally. Now, I’ll turn the call over to Alamos’ COO, Peter MacPhail to walk through operations.
Peter MacPhail: Thank you, Jamie. Young-Davidson delivered a breakout performance with record quarterly production of 56,500 ounces and record annual production of 200,000 ounces, meeting the full year guidance. This represented an 18% increase from 2016, driven by hiring at our mining rates and grades along with higher mill throughput. Mine site all in sustaining costs were $859 per ounces in the quarter and $834 per ounce for the full year, the latter down 7% from year ago. Gold production at Young Davidson is expected to range between 200, 000 to 210,000 ounces in 2018, driven by further increase in underground mining rates, which are expected to average over 7,000 tons per day for full year. Alamos had another solid year producing 42,700 ounces of gold in the fourth quarter and 150,000 ounces for the full year, achieving the top end of our guidance. This included approximately 10,000 ounces from La Yaqui Phase 1 with initial production ahead of schedule and on budget by the end of August. Mine site all in sustain costs in the quarter were $798 per ounce and $835 per ounce for the year, a significant improvement from 2016, reflecting higher grade stock, a lower strip ratio and lower cost of production from La Yaqui Phase I. We expect production to be in a similar range of 150,000 ounces to 160,000 ounces over the next several years, declining costs in 2019 and beyond, reflecting the end of the 5% royalty and the installation of power grid Mulatos. Collectively, we expect these two items to save us nearly $100 per ounce at the current gold price. A key focus over the next year will be advancing development of both Cerro Pelon and La Yaqui Grande with production from these higher grade projects expected in 2020 and 2021 respectively. Including these deposits, we have a mineral reserve life of eight years in the Mulatos district with an estimated track record of exploration success significant potential across the district and another $13 million budgeted for exploration in 2018, we expect to be mining in the district well over a decade from now. Island Gold had another record year as the operation continues to grow and improve in every respect. The mine produced 22,100 ounces of gold in the fourth quarter, of which 9,000 ounces was attributable to Alamos following the close of the acquisition. Full year production of 98,600 ounces was up 18% from 2016, beating production guidance and establishing a new record. Underground mining rates averaged around 1,000 tons per day in the fourth quarter and for the full year with similar rates expected in 2018. Billing rates averaged 930 tons per day in 2017 and are expected to increase to 1,100 tons per day following completion of Phase I mill expansion in the second half this year. Island Gold is expected to produce between 90,000 and 100,000 ounces in 2018. Looking ahead to 2019, the combination of higher throughput and grade is expected to drive significant increase in production and reduction in costs. Combined with lower capital, we expect healthy increase in free cash flow from the operation. El Chanate produced 12,100 ounces in the fourth quarter and 60,400 ounces for the year with mine site all in sustaining costs averaging 1,218 per ounce. El Chanate is expected to produce between 40,000 and 50,000 ounces in 2018 with mining activities expected to wind down by the middle of 2018. Given this long lead cycle, we expect ongoing production and higher mine site free cash flow in the second half of ‘18 and into 2019. With respect to our current operating mines produced at least 500,000 ounces in 2019 and beyond and low cost production growth from Island Gold replacing higher cost production El Chanate. We expect declining cost over the next few years driven by key improvements at all three of our core operations, including completion of Phase 1 expansion at Island Gold and the 5% royalty at Mulatos in 2019 and higher underground mining rates at Young Davidson in 2020 following completion of the tie in of the upper and lower mine. Combined with the declining rate of capital spending across these operations, we expect additional free cash flow growth over the next few years. Development activities at Kirazlı continue, including tree clearing, road relocation and power line construction. We’ve also broken ground on the construction of a water reservoir and selected our mining and civil works contract. We expect to ramp up major construction activities during favorable spring weather. With that, I will turn the call back to John.
John McCluskey: Thank you, Peter. That concludes the formal presentation. And I will turn the call over now to the operator who will open the lines for your questions. Operator?
Operator: Thank you. We will now take questions from the telephone lines [Operator Instructions]. And the first question is from Rahul Paul from Canaccord Genuity. Please go ahead.
Rahul Paul: At La Yaqui Grande, it's good to see you continued reserve growth with the grade holding together. What is the strip ratio associated with the reserve that as it stands right now?
John McCluskey: It's in the range of 6 to 7, Rahul.
Rahul Paul: And then just a follow-up on that, I mean are you seeing the strip ratio coming down with additional drilling. In particular, are we seeing the pre-strip requirements coming down?
Peter MacPhail: It came down marginally from the last run, and that's probably where it will be.
Rahul Paul: And then can you remind me as to how much metallurgical testing is done so far and what kind of results are you seeing?
Peter MacPhail: So we tested all the materials that's in the resource and the reserve and we're seeing very good metrics very similar to La Yaqui Phase 1, which I think would be 75 continue to bit more.
Rahul Paul: And then John just in Turkey, has anything changed that gives you either greater confidence or lesser confidence that you will re-permit soon or is it still the same just waiting for a response?
John McCluskey: Nothing has really changed. As you’ve seen, we’re just waiting for them to go through their approval process.
Operator: The next question is from Michael Grey from Macquarie.
Michael Grey: I’ve got a question for Aoife on down plunge southeast -- the main mineralization in Island Gold. Fairly bullish commentary in the resource update new zone having an area of potential and for mineral resources similar dimensions to the Phase 1 PEA expansion area. Aoife could you just expand on that a little bit in terms of what you’re seeing in that area and whether we’re going to be getting relatively regular updates vis-à-vis draw results?
Unidentified Company Representative: When we look at the overall area of the PEA and we compare the area that we’re now drilling the southeast, they are very similar in size. And when you look at match out of results and they started drilling that out -- or back to even 2010 that we’re getting similar grades to what we're seeing in our results. The geology looks very similar we're in just like in the same bedding and alteration and it appears that it's continuing to down plunge the same way, it even appears from the very few holes that has -- we've drilled that and that is mix. There is one or two where we hit it in the slightly different place due to some drives coming across. But all the indications are that they continue pretty strongly there and plunge at the southeast. So we’re very encouraged by what we see.
Michael Grey: And at a one point there was I think Richmont was interpreting some flatter veins in addition of steeper ones. Has that been resulted or is that a work in progress?
Unidentified Company Representative : That's a work in progress. We’re doing a big -- we just commenced a big structural and alteration study up there and we’re getting -- and we trickling if you like the enquiry on the geology there at the moment, so that’s the work in progress.
Michael Grey: And final question just on the 15 million 84 kilometers of drilling for Island. What's the rough breakdown on that in terms of infill versus expansion and where distribution? I know that you are going to do it for pass test on the 5 to 6 kilometer strike as well.
Unidentified Company Representative: We have two exploration drilling and as opposed to delineation -- infill, that’s coming under more mine geology. We have 84,000 meters for exploration, of that 64,000 is surface and on Turkey are some underground. Most of the surface drilling or high proportion in surface drilling is going to be the steep directional, but the 50,000 of that that’s a long strike and hitting other targets other than the down plunge continuity superiority, the extension to be east and on strike 6 kilometers and a couple of other targets to the west.
Operator: Thank you. The next question is from Lawson Winder from Bank of America Merrill Lynch. Please go ahead.
Lawson Winder: Just first on the Kirazlı CapEx. So assuming no GSM permit, at what point in 2018 will that $20 million of capital spending for Kirazlı be complete?
Jamie Porter: So the $20 million is their not the GSM, so that’s the spending on some of the work that we’re doing currently on the road relocation on the reservoir construction on bringing power to site. So that will be incurred throughout the year but the majority of it would be done probably by the end of Q3.
Lawson Winder: And then on the YD cost per ton, it was $44 in Canadian dollars in Q4, so it was just a slight increase over Q3. And it would just be really helpful to get an idea for what kind of the moving parts were on that increase versus Q3 especially considering the throughput was up a little up.
Peter MacPhail: So every quarter it will be up and down a bit based on how much of that came from development versus stoping, the stoping was cheaper than we felt it were. So it fluctuates from quarter to quarter but overtime it’s flat.
John McCluskey: Yes, I think our budget for 2018 is in around that $44 per ton level and then once we get up to a couple of years out we’re at 8,000 tons per day, we would expect to see that drop down to four year pretty below.
Operator: Thank you. The next question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Peter, will we get some kind of an engineering study at some point this year on La Yaqui Grande?
Peter MacPhail: No, I don’t think we’ll be putting out a study on it. We’ll treat it like we did La Yaqui Phase 1 and other deposits that we mine. In Mulatos, we pretty much set the mining cost. But I don’t think we’re planning on putting out 43-101 or anything like that. It’d be more may be we do something a tour or something like that, but I don’t think we’re putting it further.
Kerry Smith: I was thinking more like the ref 300 of high you might actually mine the deposit, not necessarily referring to 43-101 though?
Peter MacPhail: Well, it’s going to be standalone heat bleach in the side at there, very similar to the Phase 1, but just bigger, nothing special.
John McCluskey: Yes, I think once we have all the detail around the capital spending and the throughput rates and everything else that would likely be disclosed in quarterly press release or more in the separate standalone press release.
Kerry Smith: And would we maybe see that this year that I guess is that I am wondering?
Peter MacPhail: Well, we're going through the permitting on it. So we're doing it currently to support that permitting. So yes, probably by the end of the year we’d be in a position to give more detail.
Operator: Thank you [Operator Instructions]. And your next question is from Cosmos Chiu from CIBC. Please go ahead.
Cosmos Chiu: I have an accounting question here actually. There was quite a bit of accounting noise in Q4 2017 in part related to the Richmont acquisition has resulted in a loss of $0.01 per share lower than consensus, I think that's a reason why share price is down today. I guess my question is, should we be expecting more counting noise in 2018 related to the Richmont acquisition? I don’t think so, given that I think I've looked into your financial statements, it looks like the purchase price adjustments being completed, you have a year to confirm it but I don’t think I would expect any more changes. And in comparison to your previous acquisition or the merger with AuRico, I would imagine this is a bit less complicated given that with AuRico you took on AuRico's books as a basis, but not this time around. But I just want to make sure in terms of potential for accounting noise in 2018 how should I look at it from the perspective for the Richmont acquisition.
Jamie Porter: You shouldn’t expect any noise related to the transaction or acquisition coming in 2018. It was all booked in the fourth quarter. And the transaction costs were split between Richmont’s books between the Alamos book and then between the production and the cash that came over, so little bit complicated but we did try to specifically outline what those adjustments were and what impacted earnings in the fourth quarter with the $5.1 million that's spelled out in the press release. The other -- I mean the major impact going forward from the acquisition is on our amortization with the addition of it when it carries higher amortization charge from $400 an ounce. So you'll see our blended overall amortization on a per ounce basis go up to in around 325 to 350 range.
Cosmos Chiu: So that could potentially, given that you need to take depreciation on the higher value of the acquisition cost, you need to depreciate at a higher rate. So that could potentially impact the EPS, but Richmont model that into it.
Jamie Porter: Yes, that's exactly right. If you look at our financials, they are cleaner now than they have been in years. And going forward, we don’t have -- our interest expenses is minimal and there won't be any other accounting adjustments related to this stuff going forward other than just while standardized FX adjustments that go through every quarter, so those are typically adjusted out anyway.
Operator: Thank you. There are no further questions at this time. This will conclude today's conference call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932 extension 5439. Thank you for your participation.